Operator: Ladies and gentlemen, thank you for standing by and welcome to the Q3 2014 China Pharma Holdings, Inc., Earnings Conference Call. At this time all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions). I must advise that this conference is being recorded today, the 14 November, 2014. I would now like to hand the conference over to your speaker for today, Mr. Sam. Please go ahead, sir.
Sam Hsing Dong: Good morning ladies and gentlemen and good evening to those of you joining from China. Welcome to China Pharma’s third quarter 2014 earnings conference call. I am Sam, the company’s Vice President. Speaking on the call today are China Pharma’s President and CEO and Interim CFO, Ms. Zhilin Li and Corporate Vice President, Mr. Sam Hsing and Diana, IR Manager. We will provide with translation during the Q&A session of the call. The company’s earnings press release issued earlier this morning is available on our website under www.chinapharmaholdings.com. I would like to remind our listeners that on this call management’s prepared remarks contain forward-looking statements, which are subject to risks and uncertainties and management may make additional forward-looking statements in response to your questions. Therefore the company claims the protection of the Safe Harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today due to such risks as market and customer acceptance and the demand for our products, our ability to market our products, the impact of competitive products and pricing, the ability to develop and launch new products on a timely basis, the regulatory environment including government regulation in the PRC, our ability to obtain the request regulatory approvals to commercialize our products, fluctuations in operating results, including spending for research and development and the sales and marketing activities, and other risks detailed from time-to-time in our filings with the Securities and Exchange Commission. In addition, any projections as to the company’s future performance represent management’s estimates as of today, [August], September 14, 2014. China Pharma assumes no obligation to update those projections in the future as market conditions change. Now it is my pleasure to turn the call over to China Pharma’s CEO and Interim CFO, Ms. Li to make her opening remarks in Chinese which will be translated by me. Afterwards I will continue translating Ms. Li’s detailed discussion of the company’s second quarter 2014 financial results.
Zhilin Li: [Foreign Language] Good morning everyone. I would like to thank each of you for joining us today and for your continued support of China Pharma. We feel excited to inform you that in November 2014, the CFDA completed their process of GMP certification for our new facility and issued the GMP certificate to enable us to commence manufacturing our liquid injectable and dry powder injectable production line. We have commenced the operation of the two product lines as of the date of this report. Once-in-forty-year 6 grade super typhoon Rammasun hit Haikou. This typhoon caused considerable damage to our manufacturing facility and inventory. Part of the warehouse was flooded; some damage was caused to our new facility while the water and electricity supply was suspended for several days causing a brief halt to our production activities. We have taken emergency measures to restore and recover post-typhoon. The Company's losses from natural disaster were approximately $2.3 million for the nine months ended September 30, 2014. I will now read the rest of miscellaneous prepared remarks in English. Net loss for the three months ended September 30, 2014 and 2013 were $6.3 million, and a $2.3 million respectively. The increase in net loss was primarily due to the decrease in sales. The increase in bad debt expenses and losses from the natural disaster recognized for the three months ended September 30, 2014. Revenue for the three months ended September 30, 2014 was $5.5 million, a decrease of 31% from $8.1 million for the three months ended September 30, 2013. This was mainly due to the production suspension of our injectable production lines this year. For the three months ended September 30, 2014, our cost of revenue was $4.0 million, or 73% of total revenue, which represented a decrease of $1.8 million from $5.8 million, or 72% of the total revenue, in the third quarter of 2013. The decrease in cost of revenue in the third quarter of 2014 was mainly due to the decrease in purchasing prices of certain raw materials due to market fluctuations. Gross profit for the three months ended September 30, 2014 was $1.5 million, a decrease of $0.7 million, from gross profit of $2.2 million in the same period of 2013. Our gross profit margin in the third quarter of 2014 was 27% compared to 28% in the same period of 2013. Looking forward, we expect the pricing pressures on most products, while our new products have and will support the overall gross margin. For instance, the Candesartan, the product we launched last November, is sold at a price that supports our gross margins. Our selling expenses for the three months ended September 30, 2014 were $0.7 million, compared to $0.9 million in the same period last year. Selling expenses accounted for 13% of the total revenue in the third quarter of 2014 compared to 11% in the same period in 2013. Due to many adjustments in our selling processes under healthcare reform policies, despite the decrease in sales, we still require comparable personnel and the expenses to maintain our revenue and collection of accounts receivable. Our general and administrative expenses for the three months ended September 30, 2014 were $0.42 million, an increase of $0.05 million from $0.37 million in the same period of 2013. General and administrative expenses accounted for 8% and 5% of our total revenues in the three months ended September 30, 2014 and 2013, respectively. Our bad debt expenses for the three months ended September 30, 2014 and 2013 were $3.9 million and $3.2 million, respectively. The increase in bad debt expenses was mainly due to the increase in the aged accounts receivable. We suffered losses of $2.3 million relating to a tropical typhoon during the three months ended September 30, 2014, there was no comparable expense in the prior year period. Our operating loss for the three months ended September 30, 2014 was $6 million, compared to operating loss of $2.7 million in the same period in 2013. The increase in operating loss was primarily due to the decrease in sales, the increase in bad debt expense and the losses from natural disaster recognized during the three months ended September 30, 2014. Nine month’s results. For the nine months ended September 30, 2014 our sales revenue decreased by $5.6 million, or 23%, to $18.8 million from $24.4 million in the corresponding period of 2013. Gross profit for the nine months ended September 30, 2014 was $6.6 million, compared to $2.8 million in the same period of 2013. Gross profit margin for the nine months ended September 30, 2014 and 2013 were 35% and 12% respectively. Without the effect of inventory obsolescence for the nine months ended September 30, 2013, management estimates that our gross profit would have been approximately $6.5 million, and gross margin would have been 27%. The increase in gross profit margin was mainly due to market fluctuation and the sales price increases in certain products; in addition, more high-margin products were sold in the first nine months of 2014 compared to the same period a year ago. Our operating loss for the nine months ended September 30, 2014 was approximately $16.85 million, compared to $10.45 million for the same period in 2013, which represented a deterioration of $6.40 million. The deterioration in operating income performance was primarily due to lower revenue, higher bad debt and R&D expense and losses from natural disaster in the current period compared to the corresponding period one year ago. Our net loss for the nine months ended September 30, 2014 and 2013 was $17.4 million and $9.6 million, respectively. The deterioration in net income performance was primarily due to lower revenue, higher bad debt expense, increased R&D expense and losses from natural disaster in the current period as compared to the corresponding period one year ago. The Financial Condition; Our cash and cash equivalents were $4.3 million, which represents 3% of our total assets as of September 30, 2014, as compared to $6.0 million, which represents 4% of our total assets as of December 31, 2013. At September 30, 2014, our accounts receivable was $30.6 million, a decrease of $14.5 million from $45.1 million at December 31, 2013. The decrease was due to our enhanced collection efforts as well as the increased allowance for doubtful accounts at September 30, 2014 compared to December 31, 2013. Turning to the balance sheet, our cash and cash equivalents were $4.3 million, which represents 3% of our total assets as of September 30, 2014, as compared to $6.0 million, which represents 4% of our total assets as of December 31, 2013. And at September 30, 2014, our accounts receivable was $30.6 million, a decrease of $14.5 million from $45.1 million at December 31, 2013. The decrease was due to our enhanced collection efforts as well as the increased allowance for doubtful accounts at September 30, 2014 compared to December 31, 2013. With that we will now open the call up to the question. Operator?
Operator: Thank you, sir. Ladies and gentlemen, we will now begin the question-and-answer session. (Operator Instructions). We have the first question from the line of [Peter Siris]. Please ask your question.
Unidentified Analyst: [Foreign language]
Zhilin Li: [Foreign language]
Unidentified Analyst: It’s obvious this hasn’t been a great year between typhoon and the GMP certificate. So I’d like to understand where you are going to be going forward. You know the first question I guess is, is there any update on any of the new drugs you had, is anything proved, is anything look like it’s going to be approved, so lets talk about that first?
Zhilin Li: [Foreign language]
Diana Huang - IR Manager: Ms. Li said [indiscernible] to mention a little bit about two main patented products. First she mentions antibiotic which is currently under Phase 2 clinic trial. She said this product almost finished its Phase 2 clinic trial right now. And then she continued that to mention another patented product drug which is for the treatment of coronary heart disease. This product is currently on Phase 3 clinic trial and almost finished the Phase 3 unless you continued to explain that only a few patients is still waiting to complete their treatment of this coronary heart disease drug right now. So it is expected to be finished shortly for the fifth Phase 3 trial. And then, Ms. Li continued to mention that as for the other patented products which are mainly waiting in the queue of the CFDA reviewing process, while among those in products one product which is for the treatment Alzheimer's disease is hopefully to get some dues from the CFDA by next year 2015. And that’s her answer to your question.
Unidentified Analyst: I’m sorry, what disease was the one in 2015?
Diana Huang - IR Manager: You mean the – it’s for the treatment of Alzheimer’s disease.
Unidentified Analyst: Okay. What else is still in the queue, weren’t there a couple of other drugs that were still in the queue?
Zhilin Li: [Foreign language]
Diana Huang - IR Manager: Ms. Li replies that we have nine patented products in all. And among which the three patented products she just mentioned I should be company drugs at the late development stage, while the others are still in the earlier stage of their [indiscernible].
Unidentified Analyst: Wasn’t there a, well I can’t the – I can’t pronounce his name but we received a -- when there’s another drug in the queue?
Zhilin Li: [Foreign language]
Diana Huang - IR Manager: Ms. Li explains that the risk was starting has finished its clinic trial stage. However, products are request of CFDA; we have 70 mandates of new materials to the authority. So currently this product is still in the reviewing process of the CFDA.
Unidentified Analyst: Got it. And is there – does the CFDA appear to be going faster, slower or about the same in approving new drugs?
Zhilin Li: [Foreign language]
Diana Huang - IR Manager: She replies that we do not observe much change towards the [speech] of the FDAs reviewing process. But fortunately we have been informed that the CFDA have been determined to have personnel to see that there are profits. However we are not sure how soon could the really [indiscernible] personnel finish the recurring profits.
Unidentified Analyst: Is now that you have the GMP can we expect that your sales will start to pick up because you’ll start to be able to sell more products?
Zhilin Li: [Foreign language]
Diana Huang - IR Manager: Ms. Li said yes, till then we have suspended the production of our drug powder and we call injectable product as of now, as of recently how – given we have received the new GMP certificates. We will immediately pick off the production and then try our best to win back the market of those products.
Unidentified Analyst: Okay, thanks I’ll get back in the queue.
Zhilin Li: Thank you.
Diana Huang - IR Manager: Thank you.
Operator: (Operator Instructions) As there are no further questions at this time, I would like hand the call back to your speaker for today.
Sam Hsing Dong: Thanks. On behalf of the entire China Pharma team, we would like to thank you for your interest in the company and the participation on this call. For any of you traveling to China, we always welcome and encourage any visitors from our shareholders, potential investor and analysts. This concludes the China Pharma’s third quarter 2014 earnings call. Thanks.
Operator: Thank you, sir. Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.